Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:07 Good day, ladies and gentlemen, and welcome to the Vertex Energy Q4 2021 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode, and the floor will be opened for questions and comments after the presentation. 00:22 It is now my pleasure to turn the floor over to your host Noel Ryan. Sir, the floor is yours.
Noel Ryan: 00:29 Thank you, Holly. Good morning, and welcome to Vertex Energy's fourth quarter and full-year 2021 results conference call. Leading the call today are our Chairman and CEO, Ben Cowart; CFO, Chris Carlson; and EVP of Development, Alvaro Ruiz. We issued a press release before the market open this morning, detailing our recent operational and financial results. 00:53 I'd like to remind you that management's commentary and responses to questions on today's conference call may include forward-looking statements, which by their nature are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of some of the risk factors that could cause actual results to differ, please refer to the Risk Factors section of Vertex Energy's latest annual and quarterly filings with the SEC. 01:20 Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during our call in the press release issued today. Today's call will begin with remarks from Ben Cowart, followed by a financial review from Chris Carlson. At the conclusion of these prepared remarks, we'll open the line for questions. 01:38 With that, I'll turn the call over to Ben.
Ben Cowart: 01:42 Thank you, Noel, and good morning, everybody. Thank you for joining the call with us today. I'd like to begin our call with a brief overview of our fourth quarter and full year results, followed by a progress update on our pending acquisition of the Shell Mobile Refinery, including those key milestones leading up to the closing of the transaction. 02:04 I’m pleased to report that we delivered record fourth quarter and full year results from our legacy business, driven by a combination of improved refined product margins, increased sales volumes and strong operational execution, both at our Marrero and Heartland refineries. 02:25 Adjusted net income increased by more than $7 million year-over-year to $4.6 million in the fourth quarter, accumulating and record full-year adjusted net income, up $17.4 million. Adjusted EBITDA increased nearly $10 million year-over-year to $9.5 million in the fourth quarter, bringing full-year adjusted EBITDA to $25 million. Operationally, our team did an outstanding job throughout the year as we continue to capitalize on elevated refined product spreads, total throughput at our Marrero refinery increased materially on both year-over-year and sequential basis in the fourth quarter as their refineries operated at capacity throughput at full capacity throughout the period. 03:21 Despite a week-long outage at Heartland refinery during the fourth quarter, we still managed to achieve capacity utilization of 95% in the period, posting us to capital -- capitalize on consecutive market led price increases in base oil prices that continued on during the first quarter of this year. We have continued to see further market-led base oil price increases during the last 60-days on our Group II+ product. 03:55 Back in January, we announced our intentions to terminate the plan, divestiture of our UMO and re-refining assets to Safety-Kleen, following the prolonged regulatory review process, we determined that to move forward with this transaction would not be in the best interest of our shareholders, given the balance sheet recapitalization we've engineered over the last 6 months in advance of the Mobile Refinery acquisition, Vertex is in much better position today than we've ever been in our history, supported by profitable growth of the business. I'm incredibly proud of our operations team throughout this process, never lost focus and stayed the course over the last year, delivering record results to our shareholders. 04:49 Last week, we announced that we had accelerated our call option to repurchase the Tensile capital 65% interest in our Heartland refining business and 15% interest in our Myrtle Grove facility as planned. Once completed, these transactions will simply -- simplify our asset portfolio structure positioning Vertex to become the sole owner of these assets once again. 05:22 Given evidence streams within our broader markets and specifically within the base oil markets, we believe these assets are worth significantly more today than they were a year ago. We expect this transaction will provide us with the increased flexibility and optionality, while allowing Vertex to reap the full financial benefits being generated by these assets. Looking ahead, we anticipate our first quarter performance should be consistent with that of the fourth quarter, as product spreads remain very strong entering the year within our legacy assets. 06:00 Moving now to discuss The Mobile Refinery acquisition. During the first quarter, we reached several key financial commercial milestones in advance of a planned closing on mobile, which we expect to assume ownership as of April 1 2022 subject to the finalization of key financial agreements. Last month, we received a commitment letter with a syndicate of leaders -- with lenders with respect to a 3 year $125 million first-lien senior secured term loan facility. The term loan proceeds which have been funded in escrow are expected to be used to fund a portion of the purchase price of the Mobile Refinery and a portion of the planned renewable diesel conversion project at the Mobile Refinery, liquidity needs, and certain fees and expenses associated with the closing of the term loan. The term loan is expected to be secured by substantially all the present and after acquired assets of the company and its subsidiaries and to be guaranteed by the company and certain of its subsidiaries. 07:14 Also, in February, we announced that Vertex had entered into an initial 5-year product offtake agreement with Idemitsu, Apollo Renewable Corporation. As one of the largest suppliers of both conventional and renewable fuels in North America, Idemitsu is a valued offtake partner that provides us with the depth of product marketing and experience, and access to growing regional markets in the Western United States and Canada. This agreement will ensure offtake of all the produced renewable diesel production at the Mobile Refinery, while we expect Shell and Bunker One will soon offtake of our conventional fuel production as previously disclosed. 07:58 Finally, we recently entered into a contract with Haldor Topsoe, a global provider of carbon emission reduction technologies for the chemical and refining industries to lead the technology implementation for the planned conversion of our existing hydrocracking unit at the Mobile Refinery upon closing of the acquisition. Mobile Refinery’s hydrocracker is uniquely suited for renewable diesel production, requiring a low complexity conversion process. Separately, Vertex has move forward with initial design, engineering and procurement activities with the Worley, a global provider of professional project and asset services in the energy, chemicals and resources sectors, and expects renewable diesel production to commence by the end of fourth quarter 2022, assuming the project's timeline for the Mobile Refinery acquisition and related conversion RD conversions. 08:59 From here, the 2 key remaining milestones ahead of closing involve the finalization of the $125 million term loan together with the planned completion of our working capital facility, both of which are expected to close in conjunction with the closing of the Mobile acquisition. Once we close on Mobile, we intend to provide an update, combined company forecast, marketing to market our latest assumptions, which we currently intend to provide on our first quarter 2022 earnings call. We continue to believe that Vertex is uniquely positioned to capitalize on growing demand for advanced renewable fuels driven by carbon reduction policies supportive of the global energy transition. 09:52 As an energy transition company of scale, we are actively exploring a variety of low carbon intensity feedstocks, along with sustainable aviation fuel, carbon sequestration and green hydrogen as we seek to grow in emerging in adjacent markets. Beginning in late 2022, we intend to launch an internal ESG reporting initiative, one that will provide our investors with deep appreciation of how Vertex is working to drive value creation for our shareholders, who are helping to make the communities where we live and work great places to be. We look forward to providing a heightened level of disclosure and transparency as our business enters this next chapter of growth. 010:41 With that, I'll hand the call over to Chris for a review of our recent financial performance.
Chris Carlson: 10:46 Thanks, Ben and welcome to those joining us on the call today. For the three months ended December 31, 2021, we reported a GAAP net loss of $5.3 million versus a net loss of $2.9 million in the fourth quarter of 2020. Fourth quarter 2021 results include a $4.6 million loss in the value of a derivative warrant liability together with $3.5 million in non-recurring transaction related costs. 11:17 Fourth quarter results benefited from a combination of improved refined product margins and used motor oil collections growth together with a strong operating performance at both Marrero and Heartland. Currently, both the Marrero and Heartland refineries are fully operational. First quarter 2022 to-date refine product margins remain consistent with the fourth quarter levels, implying a strong start to the year. 11:45 As of December 31, 2021 the company had total cash available of $36 million. In addition, to $100 million of restricted cash. Total cash available as of December 31, 2021 included $13 million of total cash limited to use by the two SPVs. Vertex had total debt outstanding of $140 million net of OID as of December 31, 2021. 12:14 With that, I will turn the call over to the operator, as we take questions from those joining us on the call today.
Operator: 12:21 Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question for today is coming from Manav Gupta. Please announce your affiliation, then pose your question.
Manav Gupta: 12:54 Good morning, guys. Manav Gupta, Credit Suisse. So, first of all, congrats on fourth quarter earnings to assets are performing much better than expectations. My first question here is we are about 20 -- 22 days away from the end of this quarter, and obviously, you have said that most likely you will be the owner of the Mobile asset by April 1. Can you just help us walk through what remains to be done and give us a little more assurance around the details that by April 1 most likely, you will be the owner of this asset, if you could talk about that.
Ben Cowart: 13:32 Yeah. I'll turn it over to Alvaro Ruiz, our Corporate.
Alvaro Ruiz: 13:36 As Ben mentioned, during the call, so -- as basically, wrapping up the credit agreement, both for the term loan and the working capital facility. On the term loan, we already have a binding commitment letter so as basically legal hours to get the clear agreement through the finish line and the intercreditor agreement with the working capital provider. And for the working capital provider, under NDA, we cannot disclose the name, but we are working under a term sheet, all the way to the equity intermediation agreement with a major bank in this space and based on where we are and 30-weeks of time ahead of us, we feel very comfortable as hitting the target, Manav.
Manav Gupta: 14:29 Congrats. And second question here is, you did want to sell your used motor oil business, but looking at what you did in the fourth quarter and if that rate could be sustained for some time, maybe it's a good thing that the deal didn’t through, because maybe you were selling it for a little less than what it's worth. So, if you could talk about what your expectations were when you put that business up for sale and what it is doing in the current environment?
Ben Cowart: 14:57 Yeah. Obviously, the markets recovered well from COVID. I think that's the first key point, probably better than most people expected. We -- certainly, it was fully committed to follow through on that transaction, it was unfortunate that we got pulled into a very unforeseen loan and drawn out process in order to get to transaction and so in that that Black tunnel, we felt it to be the best interest of our shareholders to terminate under the rights of the agreement, the transaction and stay focused on the Mobile Refinery. So that really has been our focus and what we are really only on own accomplishing. And so, timing is everything. So, we're very thankful that the markets have recovered like they have. 15:50 The assets are performing and really a big appreciation to our operating teams who never really led up on doing their job and taking care of our customers and the performance by them and the results that they put up, during this period that we were very deep into this Mobile Refinery transaction, really gives us an opportunity to step back and make new decisions related to the legacy business. So, we still have our banking aids who has supported the transaction and so we, we certainly have had a lot of interest in these assets, post this announcement. And as I said, we're really focused on Mobile today and we'll be making deeper decisions to our bigger strategy, but we are excited that this business fits very well with our future. And so, we see no issue and continue those operations.
Manav Gupta: 17:20 Okay. And my last question is, look, when you announced the Mobile Refinery acquisition, cracks for doing something. Today, we are in a completely different environment. Europe is struggling to operate refineries. We are seeing cracks meaningfully higher, so versus when you announced this deal to where we are in the refining world, isn't -- would the refining earnings from the Mobile Refinery, let's for a minute beside the renewable diesel business, but just the refining earnings from the mobile refinery would be much stronger than what you had expected, when you actually announced acquisition and I'll leave it there? Thank you.
Ben Cowart: 18:00 Yeah. No, that's a very good point and is incredible, what these current crack spreads look like. Certainly, when we made the offer on the refinery spreads, we’re at all-time low, because of the COVID impact and the demand destruction across the whole refining sector. Leaving a lot of refining capacity offline even today, they are not recovered and now with a shortage finished products. Those crack spreads for the refineries have exponentially improved and so, we're -- if March is any indication, we've seen probably a $18 of spread improvement from the COVID period maybe more than where we are today, so pretty, pretty exciting.
Manav Gupta: 18:53 Thank you for taking my questions, guys.
Ben Cowart: 18:55 Thank you.
Alvaro Ruiz: 18:57 Thank you.
Operator: 19:00 Your next question is coming from Eric Stine. Please announce your affiliation, then pose your question.
Eric Stine: 19:07 Yeah. Eric with Craig-Hallum. Thanks everyone for taking the questions.
Ben Cowart: 19:14 Hi, Eric. Good morning.
Eric Stine: 19:16 Good morning. Maybe just going back to the UMO business, I mean obviously, the market conditions have improved substantially and the focus rightfully so has been on Mobile, but maybe if you could just kind of give us an update since it's been a while in terms of where you stand on collection volumes, I know spread management is always been a big focus and so maybe how those two factors played into what you saw in the fourth quarter?
Ben Cowart: 19:46 Yes. I appreciate the question because it allows me to further highlight the job our team has done and the growth both in quarter end and year-over-year on our collections is in the 20% type of organic growth range, which is just amazing. So, I've been in that business whole life, and I don't think I've ever had a year that, that I had 20% plus organic growth. And so, a lot of work goes into making that happen. The spreads have -- I have hit all-time highs across both footprint. So, we've never really seen these type of spreads since we've owned the assets. So, I just think we're in a good spot on our legacy business and its performance, Eric.
Eric Stine: 20:47 Got you. No, that's helpful. Then maybe just turning to Mobile now, in your prepared remarks, and I just want to -- I'm curious if I'm reading this right, but it does seem like you're moving up the timeline, a little bit for when you think you'll be at 14,000 barrels per day of renewable diesel and it might be by a quarter or two. So first of all, am I right on that? And then second of all, what are some of the steps again needed to do that? I know hydrogen availability is one, but just steps needed to do that and maybe steps for why you might be moving that forward a little bit?
Ben Cowart: 21:28 Yeah. Let me, back up to Phase 1 though, because I think it's important to note, in light of a tremendous amount of challenge and efforts with the current market related to the supply chain and equipment and labor and all of the other incumbent challenges that we faced in the last three or four months, we still have a startup target for year-end, as we had planned. So that's a very positive disposition on the project. 22:16 Now the second phase, which is they -- the additional 4,000 barrels a day of production has been moved up and so maybe a quarter, I don't want to get too far ahead of those numbers because there is still a lot of work that we are ramping up, but the main reason is our ability to procure an unused hydrogen plant that's already been manufactured and in storage that we have located and we'll be moving to the site. And this is going to accelerate our timeline and our total capital and that's going to be deployed for that plant. 23:15 We've also have negotiated the terms with a hydrogen partner who will be carrying that investment on their balance sheet and tolling the hydrogen to our operation, which is a big, big CapEx benefit to us in bringing this project together so. So, a lot of good things have taken place related to the Phase II expansion and there'll be more to come in our first quarter call as far as a better update to that point.
Eric Stine: 23:54 Got you. Okay. Thanks for that. Maybe last one for me, just an update on Myrtle Grove. I know that that's a little bit longer term and that's beyond Phase II or in concert with Phase II, but just investments made to-date and outlook for what we should see going forward in terms of the pre-processing facility?
Ben Cowart: 24:15 Yeah. I guess, it may need to discount to see all the work that's underway at the site. Just from a renovation of offices and warehouses and getting the site ready for playing a key role in this energy transition strategy for the company. We've got multiple innovative opportunities for that asset beyond a potential pre-treatment site for feedstock for the Mobile plant. This energy transition and renewable fuel industry is dynamic and it's -- it continues to it continues to validate the assets that we own already and how they can be deployed into the space and create real value for our shareholders. So, the site is underway. 25:23 We have a hydrocarbon recovery businesses working every day. We have completed our marine dock 7 miles from the site. Where we've got now marine water access and in connection to the site. So, a lot of the -- the first round of improvements for the site that we discussed in the -- probably the last couple of calls have already been deployed and so we are in business at the Myrtle Grove site. Not much to talk about at the moment but very pleased with the progress.
Eric Stine: 26:00 Okay. Thanks everyone.
Ben Cowart: 26:04 Thank you.
Operator: 26:09 Your next question for today is coming from Amit Dayal. Please announce your affiliation then pose your question.
Amit Dayal: 26:16 Hey. Good morning, guys. Amit Dayal, H.C. Wainwright. With respect to the UMO business, Ben, are we looking to now continue to grow that segment or how should we think about sort of your future with respect to the UMO business. Is it steady state in terms of capacity, et cetera, from these levels or are you going to start maybe going to continue to expand the UMO business as well?
Ben Cowart: 26:48 Yeah. No, we clearly have an opportunity in the current market conditions to expand capacity. Don't forget, we have our TCEP plant in Houston that we can bring back online and add value rather quickly from that standpoint. Our plant in Ohio, we've spent a lot of time and money, engineering a major expansion for that side, prior to decision to sell those assets. So those plants are being reviewed again. The industry as a whole with changes in Europe related to lubricant requirements to have re-refined base stocks as part of those formulations are now creating interest in our finished product here in the U.S. 28:00 And then when you think about for the base oil plant in Ohio, it's got an 85% lower carbon footprint in comparison to base oils that are made from crude. And with the decarbonization and the initiatives that many companies have committed to that base oil and its quality and purity being an equal to or in a lot of cases better than what you get from crude and bringing to 85% lower carbon footprint. There is a lot to think about as far as how we expand that opportunity or not. So, we have been very focused on Mobile, we've -- our team has kept our business in good order and has provided a platform to consider some interesting upside around those assets.
Amit Dayal: 29:02 Okay. Understood. And you've already indicated you're seeing sort of healthy growth margins in the first quarter then could you share maybe what your view is on those margin opportunities for the rest of the year, given all the supply chain constraints. It looks like you could be in a period of earning stronger-than-average margins for some time. How should we think about your opportunity at least for the near term on that front?
Ben Cowart: 29:37 Yeah. It's -- I'd love the lean way forward, right and we've tried to discipline our forward view on a quarter-by-quarter basis. But we're very confident that our first quarter will follow or improve on what we did in the fourth quarter for that legacy business. And I'll say that in our first quarter earnings call, we really hope to license numbers down and really start to paint, what we see anticipate as a financial picture for the rest of the year based on all the things that we're all view in and seeing. We don't see a break-in and what we're doing and those margins. We're just not sure how much more they will scale. 30:42 And when I say that we're across the whole business both in mobile and across our legacy business we're dealing with record spreads and there improve an exponentially by the day. So, it's just, it's a little bit scary to try to forecast around the current geopolitical impacts on all in fuel. So, we're just -- we're trying to be conservative to what we have already done and just staying in that group and taken advantage of the opportunities. I feel like we'll be able to do it.
Amit Dayal: 31:17 I appreciate that. And with respect to some of these one-time charges, non-cash charges, should we be looking to see some more of these come into play as you go through 2022. How should we think about any of those expenses?
Chris Carlson: 31:35 Yeah. Good question. You will definitely see more of the same, I would say in Q1. And then in Q2 and out, they will start to diminish and go down from there.
Ben Cowart: 31:50 Certainly, Amit, the transaction on the refinery, the Mobile Refinery has light-heavy the financial results you know with legal and consultants and all the things that we've had to deploy to do this the right way and so that we anticipate, as Chris said, the tail off as we close and start to cleaned up -- clean all those expenses up.
Amit Dayal: 32:26 Okay. Yeah. I'll take my questions regarding that offline. Thank you so much guys. Appreciate it.
Ben Cowart: 32:30 Thank you very much. Appreciate it.
Operator: 32:37 Your next question is coming from Michael Hoffman. Please announce your affiliation, then pose your question.
Michael Hoffman: 32:43 Stifel. Hi, Ben, Chris, Alvaro. Ben, what's the plan with regards to having created a disc ops or assets held for sale, will they be brought back in and when, with regards to real assets?
Ben Cowart: 33:06 They basically have maintained the engagement with us, Michael. So, no plans or schedules or anything has been made at this time. So, we are really are looking at the fiduciary responsibility that we have to shareholders to evaluate the direction and how we think best to move those legacy assets forward. And as you can say, there is not a sense of urgency right now take times in our favor and our primary focus is on The Mobile Refinery and executing that well is really what's got the majority of our attention today.
Michael Hoffman: 34:04 I apologize I asked the question badly. You’ve pulled the sale so, will those be brought back into the financials as continuing operations and when?
Ben Cowart: 34:14 Yeah. Okay. So, we're -- we obviously was in a discontinued accounting -- discontinued of operations related to accounting and at the end of the year and that will be decided before our earnings release in the first quarter, how that will be pulled back in or stay in the current state from accounting standards.
Michael Hoffman: 34:44 Okay. And then in the quarter, how much oil does you collect and how much would [indiscernible] buy? And I'm curious what the trends were on what you are buying given what's been happening on geopolitical basis?
Ben Cowart: 35:00 Yeah. Volumes are pretty solid --
Chris Carlson: 35:04 I mean, you come of the fourth quarter.
Ben Cowart: 35:08 Yeah. Yeah.
Michael Hoffman: 35:08 Fourth quarter and then going into 1Q. I'd like to understand what did you collect in 4Q and what's happening in 1Q given the geopolitical environment around filling the plant?
Ben Cowart: 35:21 Yeah. I don't have the exact numbers, I mean, let me just say the growth year-over-year was 20% on the organic self-collections. And then on the third-party, we have been buying in all that we need to maintain for production of the refineries and we've had no problem doing that to date and so we have seen the supplier to be there. I don't see anything today. Yeah. I guess if you get some demand destruction around gas prices and people stop driving that those volumes could be impacted, but we've actually enjoyed very solid growth and we've displaced third-party oil year-over-year, with our own collections.
Michael Hoffman: 36:17 And would you anticipate continuing to grow your own collections?
Ben Cowart: 36:22 Yes.
Michael Hoffman: 36:23 Okay. Yeah. And then within the context of the spread, what is, at this point leading the greatest expansion incrementally? Is it that you've got a cap on what you have to pay for because IMO 2020 is really had an influence? Or that you're getting a better selling price or some combination of both?
Ben Cowart: 36:50 Yeah, I think it's a combination of both, I would give more credit to the selling price obviously, both on base oil and on the marine fuels that we sell in the Gulf. Cost of all at a street level has come off by nature of the exponential increase in oil prices, but the spreads have continued to improve. And so that means that we're keeping more of that margin because of the finished quality products that we're producing and the demand being on that more than own crude on our raw material. So, crack spreads like you see with the crude business relate very well to crack spreads that you would see on the marine fuel and base oil side of the business.
Michael Hoffman: 37:53 Okay. And then last one on this topic and I like to move sort of Mobile, given the increasing demand for ESG as you sustainability -- your comment earlier about Europe requiring a percentage of total refined product on the lubricant side having a refined product in it. What's happened to the discount, what is always had to take on posted prices? What's the trend there?
Ben Cowart: 38:23 Yeah. The base oil, it's trending in our favor. I mean, we don't have a substandard product anymore to your Tier 1 buyers. They appreciate the carbon impact, the greenhouse gas reductions and emissions and the footprint that the product brings to the table and so that's really happened in the last six months to nine months where we've just, we've been able to sell the product with contracts and with very good buyers get a fair price.
Michael Hoffman: 39:07 Okay. I do have one more. The spread is unusually wide. We are in this really extreme geopolitical environment, who would have ever [indiscernible] running a business where you're in facing the Spanish flu, 1930s European aggression, 1970's energy crisis and 1980 type of inflation, all at once, but that said, at some point all this started [indiscernible] directly and so that's quite does narrow, do you see any line of sight that that's happening in ‘22 and if it's going to happen is more like [indiscernible]?
Ben Cowart: 39:48 No, that's a heck of a question for everybody on the call to try to figure the answer out too but if just asked my view, I think 2022 is going to be a strong year for the industry.
Chris Carlson: 40:03 What I'd say is, in our collections today and third-party buying is 50-50 for our plants -- of volume. And that’s increase from 60-40 two years ago in our collection volume and systematically.
Ben Cowart: 40:22 So at our collection level Michael, the needle doesn't move as quick and as fast as the sales side on the finished products. So, I think our outlook when, when we look at markets and where this is going, there is going to be a strong 2022 and many would say own into 2023.
Michael Hoffman: 40:49 All right. So, on this -- I think year ago, almost a year ago and can’t believe it's almost been a year when you announced this, you laid out a really cool financial model for those to help everybody to conservative assumptions about what the credits would look like and clearly, lots of things have changed. So, there's a couple of things, one is Bunker One is still intended to buy the work in progress from a conventional refinery as originally described is that still the time?
Ben Cowart: 41:18 No, that's in part while we've taken more time in finalizing this transaction towards the end of the quarter, we brought a Tier 1 bank that will be supporting all the inventory from the purchase at close to the working capital around the inventory for an ongoing operation. So, this is, it's a much better approach to working capital and inventory management. Where you got oil prices that could exponentially increase and the capital requirements are fixed in our facility to with very nice brackets where it can absorb a very big increase in the cost of product. 42:23 And so those are very complicated and detailed partnerships, when you put a, what they call accrued intermediation structure together and that takes extra time. As Alvaro indicated, we're in final documentation related to that facility, and we still have credit approval, final credit approval that we don't anticipate being a problem with that partner. So yeah, I think, it's a really good set up versus what we originally were going to do to close the transaction, which was just get it across the finish line and then try to do what we're doing to that. So, the deal comes together very solid under our situation now.
Michael Hoffman: 43:19 Okay. So, I got your answer to geopolitical question because that's the world we're living in, and there's two parts to it. So, at the moment, nobody is going to take a bid on the extraordinary discount on Russian crude except that on last Friday, Shell did announce they bought Russian crude in and turn right around and apologize. If there are any assurances that Shell is not shipping that oil to Mobile one? Two, as you sit here today and look at feedstock, the Russian fertilizers going to be banned on a worldwide basis it's not have enormous implications to Brazil or Latin America and their crop production as they're supposed to be flying fertilizer right now. So where are you in when locking up a feedstock agreement and two, what's happened to that potential soyabean cost price given, we could have a real shortage of soybeans?
Ben Cowart: 44:19 Yeah. So very good questions on both the ends. Let's take the Shell supply of conventional feedstock for the refinery. And fortunately, our refinery runs clean crudes, low-sulfur, light tight oils that are domestic as we see it. So, we do not anticipate having a supply issue related to that feed for The Mobile Refinery, so I'm very comfortable there. And then on the feedstock on the renewable side, we've spent a lot of time in the market. We ask producers, crushers and our speed to market and our timing coming into production is very positive. Our location from a logistics differential standpoint, we're in a very good position related to the Econ’s (ph) on the feed. So, we don't envision a problem related to feeding our renewable plants and we intend to be well ahead of the start-up, as it relates to the storage of our feed.
Michael Hoffman: 45:48 Okay. Last few questions for me. So, there's chatter in the market that Cargill largest private ad company in the world is going to internalize and do this themselves. And so, all of their volume across 2,000 dealers, some small subsidiaries is going to be redirect them internally. So, what's that mean to building up a book of -- look repliable feedstock for this plant, if they do that?
Ben Cowart: 46:17 Yeah. I mean if they internalize it our -- some of the other announced projects come online, it's the same draw own that supply chain and again it's for us. We look at our location. We look at our deep port facilities, our unit train receiving capability and our barge and manifest rail capability, all to support feed and our location being the closest ease of the Mississippi River. So, logistics play a huge role and price, so we're converting a hydrocracker train inside an existing operating facility with all its costs already baked into its current operation. So, our ability to run that plant from a cost per barrel standpoint is good as it gets, I think. 47:20 And then, our ability to manage, freight to the best markets, we've been able to loved our finished product, but the port vessel and deliver that to the West Coast really gives us a freight advantage all the way around that comes back to our ability to compete for the feed. Sothis is going to be a very dynamic market, there is a lot of new crush capacity coming online in Canada and there is going to be new approvals and so there's a lot of things that that still have to take place that will supply to feed. I think we're going to need for the plant.
Michael Hoffman: 48:16 All right. And last one for me. Original plan a year ago, you ran -- that you run the conventional cover $100 million of fixed cost. So that you levered this into the economics of the renewable diesel. What has happened to that outlook of that fixed costs, given the inflationary environment? What's the 100 million number that it is?
Ben Cowart: 48:39 No, I mean they're not much different in our location. So, there's just – no, there really hasn't been a lot of pressure there since the plants under day-to-day operations. We do anticipate some change in input costs and things as we get in there, but it's a little early for us until we got control of the actuals. Yeah. We haven't changed our models to date to reflect that. But like I said, there is a $18 improvement of crack spreads, from the time we made our offer on the refinery. So, I think we got it covered.
Michael Hoffman: 49:28 Okay. Good luck. Interesting times.
Ben Cowart: 49:31 Thank you, Michael. Appreciate it.
Operator: 49:35 That is all the time we have for questions today. I would like to hand the floor back over to Ben for any closing comments.
Ben Cowart: 49:49 Thank you, operator. We appreciate everybody's time today and joining us on this. What I believe will be a historic call for our company and just recap and a legacy business that has hit all its targets, and done everything we hoped it would do, and all the investments we've made years past and all the work that we put into the business couldn't be happier and more pleased with our people and what we've accomplished to date. 50:25 And as we look ahead with the Mobile Refinery, and the team there and all of those that will be joining Vertex, just building on our drive and our excellence about operations and the safety that our company has operated through this period and the improvements we've made year-over-year, just gives us a bigger platform, bigger opportunity to continue to showcase what our team and a group of people can accomplish. 50:53 So it's really an honor to lead this company and represent our employees and our shareholders and we look forward to our call for the first quarter that will come soon and really showcase in the future and where we plan to take the business. So, thank you again for the call. If you have any questions feel free to reach out to Noel Ryan at our vertexenergy.com and we'll look forward to talking soon. Thank you.
Operator: 51:39 Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.